Cyndi Holt: Good morning. This is Cyndi Holt, Vice President of Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers' First Quarter 2017 Conference Call. Yesterday, we issued our earnings release, as well as our supplemental information package and our investor presentation. This information is available on our Investor Relations webpage, investors.tangeroutlet.com. Please note that during this conference call, some of management's comments will be forward-looking statements that are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to our filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G, including funds from operations or FFOs, adjusted funds from operations or AFFO, same center net operating income and portfolio net operating income. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for rebroadcast for a period of time in the future and as such, it is important to note that management's comments include time sensitive information that may only be accurate as of today's date, May 2, 2017. [Operator Instructions] We ask you to limit your questions to two so that all callers will have the opportunity to ask questions. On the call today will be Steven Tanger, President and Chief Executive Officer; Jim Williams, Senior Vice President and Chief Financial Officer; and Tom McDonough, Executive Vice President and Chief Operating Officer. I will now turn the call over to Steve. Please go ahead, Steve.
Steven Tanger: Thank you, Cyndi, and good morning everyone. We're pleased to have extended our streak to 54 consecutive quarters of consolidation portfolio, same centered at operating income growth and ended the first quarter with our consolidated portfolio 96.2% occupied. We believe the current retail environment characterized by bankruptcies and store closure announcements is a direct result of underperforming retailers having not invested in their product, their store experience or their balance sheets; which in many cases has resulted as -- it was the result of leverage buyouts by private equity firms. We had the foresight to prune our portfolio of eight non-core assets between December 2014 and January 2016 and to convert $525 million of floating rate debt to fixed interest rates in 2016. No other retail venue provides the combination of social experience with the world's best brand names cutting out the middleman and selling direct to the consumer at value prices every day. Our occupancy cost ratio remains the lowest in the mall regroup. Outlets remain an important and profitable channel of distribution for our tenant partners. We believe the popularity of outlets with consumers and retailers along with our fortress balance sheet and the strength of our core portfolio position us to whether the current headwinds in the retail environment as we have in similar parts of the cycle for the past 36 years. Before I discuss our operating performance and our outlook for the balance of 2017, I'll turn the call over to Jim who will take you through our financial results and a brief overview of our recent financing activities. Afterwards Tom would like to update you on our development activities. Go ahead, Jim.
Jim Williams: Thank you, Steve. First quarter 2017 AFFO was $0.58 per share and in-line with consensus estimates and up 3.6% compared to the fourth quarter of 2016. A total market capitalization as of March 31, 2017 was $5 billion and leverage remained low with our debt-to-total market capitalization ratio at 34%. Last year we had the foresight to convert $525 million of floating rate debt to fixed interest rates, although higher interest spend is expected to have a diluted impact on 2017 FFO of about $0.05 per share or about 2%. The 2016 financial activity took most of our interest risk off the table. Our floating rate exposure represented only 12% of total debt or 4% of total enterprise value as of March 31, 2017. The average term to maturity for our outstanding debt was 5.9 years as of quarter-end and we have no significant maturities until June of 2020. Approximately 92% of the square footage in our consolidated portfolio was not encumbered by mortgages as of March 31, 2017. We continue to maintain significant liquidity with about $72 million outstanding under our unsecured lines of credit at quarter end leaving 86% unused capacity or approximately $448 million. We have also maintained a strong interest coverage ratio during the first quarter of 4.22x. In April we raised our dividend by 5.4% on an annualized basis. This was the 24th consecutive year we have increased our dividend for every year since becoming a public company in May of 1993. Our current annualized dividend of $1.37 per share is more than double our 2006 dividend which was $0.68 per share on a split adjusted basis. Over the last three years our dividend has grown at a 30% compounded annual growth rate. On May 15, 2017, we will pay our 96 consecutive quarterly dividend of $34.225 per share to holders of record on April 28, 2017. Our dividend is well covered. In 2016 our FFO exceeded our dividend by over $100 million. Over and above while we have invested in new developments and expansions, we have reinvested more than $300 million into our portfolio over the last 10 years to renovate our properties and add new sort after retailers which represents about 13% of our gross book value of our real estate assets. We expect our FFO to once again exceed our dividends by more than $100 million in 2017 with an expected payout ratio in the mid 50% range. We plan to continue to reinvest this into our business. Our top funding priorities are creatively developing new outlet centers and expanding existing successful centers, upgrading and remerchandising our core property so that they remain vibrant and continue to meet the expectations of the consumer and managing our debt to maintain a strong balance sheet and maximum flexibility. Currently we believe these remain the best uses of our capital. If our shares become persistently undervalued, we will consider other alternatives such as the share repurchase plan if appropriately sized to maintain flexible leverage profile in our investment grade credit ratings. Our conservative mindset has served Tanger well throughout 36 years of economic peaks and values maintaining a fortress balance sheet and investor grade credit as our way of life. Financial stewardship is a homework of Tanger Outlets that we do not intend to change. I will now turn the call over to Tom.
Tom McDonough: Thank you, Jim. This year we plan to complete two development projects, both of which are currently under construction. In September, we expect to complete a major expansion that will increase the size of the Tanger Outlet Center in Lancaster, Pennsylvania by 123,000 square feet and add over 20 new brand name and designer outlet stores. In the fastest growing area of the Dallas, Fort Worth market, we are planning a late October opening for our new 352,000 square foot Fort Worth Texas Outlet Center located within the Campion Circle mixed use development, adjacent to the Texas Motor Speedway. The population of Denton County where our center is located is projected to increase from 800,000 people to 2.1 million people between 2015 and 2040. These wholly-owned projects are expected to generate a weighted average stabilized yield of approximately 9.3%. So far 2017 has been a difficult year for retailers characterized by multiple bankruptcy and store closing announcements. Retailers have become more deliberate about external growth opportunities as restructuring has been become the strategy dejour [ph]. Our longstanding disciplined development approach remains intact, our underwriting practice requires achievement of 60% preleasing and receipt of all non-appealable permits prior to acquisition of land or commencement of construction. We will not build on speculation. During the first quarter we elected to terminate our purchase option for a pre-development stage project near Detroit, Michigan which resulted in a $627,000 charge for abandoned predevelopment costs. Recalled, we did not deliver any new developments between October 2008 and November 2010. Since that time we have delivered ten new developments, acquired seven existing outlet centers and sold eight non-core centers. Given the current market conditions we feel the highest return to our shareholders is to focus our leasing efforts on filling vacant space in our existing portfolio which we believe is the fastest way to grow cash flow and shareholder value. Two areas of recent leasing focus have been food and the home product’s category. Our food objective has been to make more and better food offerings available to enhance the shopping experience. While this can be challenging due to outlet traffic patterns being more concentrated on the weekends; we’ve had success signing 44 new food leases during 2016, 19 of which were new to our portfolio. Our centers will now have seated dining options like Texas Road House and Metro Diner; fast casual options like Five Guys Chipotle Zoes Kitchen, Rise Pies, Jimmy John’s and Schlotzsky's Deli as well as coffee engraving food options like Dunkin Donuts, Krispy Kreme and Planet Smoothie. Our home objective has been to enhance the variety of home product offerings in our centers as a convenience to our shopper and to earn a greater number of her overall shopping trips. In 2016 we executed leases to add seven home products tenants to our portfolio including Restoration Hardware HomeGoods, WestPoint Home and Kirkland and are currently negotiating deals with additional tenants in the home product’s category. Demand for outlet space is also coming from existing retailers interested in selectively opening new stores; we're upsizing their existing stores as well as retailers that are newer to outlet distribution. The season tenant group includes retailers like Old Navy, Michael Kors, Polar Wraps and Skechers, Colombia, Under Armor and Bath and Body Works which is adding the White Barn and Candle Brand within their stores. Other than the food and home products just mentioned the newer tenant group includes T.J. Maxx, Eve’s still warm and of home category Tory Burch, Lululemon, Francesca's H&M, Dockers, Torrid, Youth Balance and A6 in the apparel and footwear category. Alex and Ani, Brighton and Shine Ola in the accessory category as well beauty in the health and beauty category. As Jim mentioned, we have invested over 300 million of our own capital in the past ten years upgrading the look and feel of our centers. We are starting to see some of the top-fashion brands like Coach and Polo introducing new store designs that are leading to a dramatic increases in sales. I will now turn the call back over to Steve.
Steven Tanger: Thank you, Tom. As I mentioned earlier, our consolidated portfolio was 96.2% occupied as of March 31, 2017, 30 basis a down 40 basis points from last year. Historically, we have maintained both high occupancy and a dynamic lineup of the most sought after brand name retailers. At times of the cycle when underperforming brands have shuttered stores, we have capitalized on those opportunities to enhance the tenant mix by filling the space with fresh new brands that our shoppers tell us they want in out centers. While these sought after retailers have a lower relative cost of occupancy that may impact retenanting spreads in the short-term remerchandising vacant spaces with high volume retailers has been a successful long term strategy for Tanger or for more than 35 years. Enhancing the tenant mix in this way has historically increased shopper traffic, driven demand from additional new tenants and increased future renewal spreads and overall tenets sales productivity. With these objectives, we have planned major remerchandising projects at seven of our centers very 2017. These centers are located in Howell Michigan, Hilton Head South Carolina Jeffersonville Ohio, Myrtle Beach South Carolina, Ocean City Maryland, Tilton New Hampshire and Westbrook Connecticut. Excluding seven leases, totally 138,000 square feet associated with these remerchandising projects blended base rental rates increased 13.8% during the first quarter of 2017 The 138,000 square feet retentative with exciting high volume retailers required the consolidation of 22 storefronts with an average size of 6300 square feet to create seven new store fronts with an average size of approximately 19700 square feet. Including these projects, blended base rental rates increased 8.4% during the first quarter on about one million square feet. Through the first quarter of 2016 we had executed about 950,000 square feet. Additionally, over the past several years we have successfully implemented a leasing strategy to give tenants fewer and shorter renewal options to increase the number of leases with annual rent escalations and to convert pro rata CAM to fixed CAM. Spreads have narrowed over this period of time because rents are generally closer of the market; at lease exploration or when space is recaptured as a result of our ability to capture base rate growth throughout the lease term and to increase CAM reimburse. As our quarter end approximately 34% of the space in our consolidated portfolio was on fixed CAM. These embedded base rent and CAM escalations during the term of our leases are key drivers of our same center that are operating income growth. With the lowest average tenant occupancy cost among the mall REIT’s at just 9.9% or our consolidated portfolio in 2016. We have been successful at raising rents while maintaining a very profitable distribution channel for our tenant partners. Lease spreads are a function of what rates were years ago, what locations in the center are coming up for renewal and what decisions we made to remerchandise and strengthen a property for the long term. In addition to having negative impact on rent spreads, these remerchandising projects are also expected to have an approximately 100 basis point negative impact on same center net operating income for 2017. Same center new operating income increased 1% during the first quarter of 2017 which as I mentioned earlier is our 54 consecutive quarter of NOI increase. In fact, our same center NOI has grown cumulatively by 47% over the past five years. In addition, portfolio NOI which includes NOI from comparable centers increased 10.9% throughout the consolidated portfolio during the first quarter of 2017. For the last five years our portfolio NOI has grown by 46% cumulative. Lease terminations fees which are excluded from same center and portfolio NOI were approximately $1.2 million during the first quarter compared to 600,000 in the same period last year. Average tenant sales productivity within our consolidated portfolio was about $380 per square foot for the trailing 12 months ended March 31, 2017 or $403 per square foot on NOI weighted basis. On a same central basis tenant sales performance was down 3.5% for the consolidated portfolio and down 2.4% for the overall portfolio compared to the 12 months ended March 31, 2016. There are a number of factors impacting tenant sales for the 12 months ended March 31. In the past 12 months, four new centers have rolled into the consolidated portfolio; average tenant sales metric including Foxwoods of Memphis during the first quarter of 2017 and Grand Rapids in Savannah during the third quarter of 2016. Initially, new centers do not typically exceed our portfolio average but in the first several years have the potential for strong tenant sales growth. Westgate is a good example of this having started out below our portfolio average in the first quarter of 2014 and grown to its current productivity is ranked in one of our top 10 centers. Tenant sales were also impacted as a result of one fewer shopping day compared to prior trailing twelve month period which included a leap day and by the shift in the Easter holiday. The trailing twelve months ended March 31, 2016 included two Easter holidays, April 5th, 2015 and March 27, 2016 providing a difficult comparison period for the trailing 12 months ended March 31, 2017 which did not included Easter holiday. Unlike regional malls, that are largely located in market many of outlet centers are located in drive to vacation destinations which we believe results in a more pronounced impact of the Easter shift. Other factors negatively impacting apparel sales are the shift in spending from soft to durable goods at prevalent price deflation as underperforming retailers continue to deeply discount product that is not resonating with the consumer; particularly those retailers that are closing stores and liquidating inventory. On a relative basis, other retail venues have cited negative sales growth over the past couple of years as a result of the negative impact of the strong dollar on international tourism as the anniversary of the onset of the strong dollar impact their comps have grown relatively easy while our sales have been stable in recent years with minimal impact from the strong dollar our comps have become on a relative basis for difficult. Our initial guidance underestimated the impact of longer downtime, unexpected store closings and lease termination fees. We are revising our guidance for consolidated portfolios, same center in a wide grow through a range of approximately 1.5 to 3% excluding the impact of remerchandising at several of the seven centers mentioned earlier. Including the centers we're updating our consolidated portfolio same center NOI guidance to arrange approximately 0.5 to 2%. The primary drivers of our current expectations are delayed store opening, expectations and incremental unexpected store closing relative to our previous forecast. Through the end of the first quarter, we recaptured approximately 62,000 square feet within our consolidated portfolio related to bankruptcies and brand wide restructuring by retailers compared to approximately 45,000 square feet during the first quarter of 2016. Based on our current expectations, we expect to recapture approximately 22,000 additional square feet during the second quarter of this year and for the full year we expect the total to be similar to the amount over the past two years. We recaptured 105,000 square feet during 2016 and 157,000 square feet during 2015 within our consolidated portfolio related to bankruptcies and brand wide restructurings by retailers taking into account our releasing expectations. We currently expect average occupancy for the full year to be approximately 96% compared to actual 2016 average occupancy of 97%. To a lesser extent, incremental lease modifications and reduced percentage rents are now reflected in our same center NOI guidance. These factors are partially offset by approximately $1 million in incremental operating expense savings not reflected in our previous [inaudible]. These savings resulted from a management review of our operating and marketing expenses to determine how we can operate more efficiently. Lease terminations fees are not included in same center NOI but help offset and may more than offset the impact the rent loss from store closings resulting an immediate cash flow. The amount and timing of lease terminations fees can be volatile and difficult to predict. Our current 2017 guidance is based on a $2.3 million, a forecast at least terminations fees for the full year including 1.1 million expected to be recognized during the second quarter. Our previous guidance assume no terminations fees. We’re also adjusting our net income per share guidance to range FFO and AFFO per share guidance; and FFO guidance by $0.04. The reduction is a function of lower same center NOI and the right to offer predevelopment costs for the Detroit Project partially offset by approximately $2.3 million of lease termination fees, 1.1 million of which we expected to be recognized in the second quarter. While lease terminations fees are not included in the same center NOI, they help to offset rent loss when stores close. The amount and timing of lease terminations fees were volatile and difficult to predict. Our previous forecast did not include any lease termination fees. Currently we expect our 2017 estimated diluted net income to be between $1.04 and $1.09 compared to our previous forecast of $1.02 and $1.08. And our AFFO and FFO per share to between $2.40 and $2.45 compared to our previous forecast of $2.41 and $2.47. Our current FFO guidance represents growth of 1.3 to 3.4% over 2016 AFFO per share. This includes a $0.06 per share increase in interest expense excluding the deluded impact our guidance would represent growth of 3.6 to 5.7%. Unchanged from our previous forecast, our estimates for CapEx in second generation tenant allowance, general and administrative expenses, financing transactions and the acquisition and disposition activity. Combined, we expect 2017 CapEx and second generation tenant allowance to be about $60 million as we continue to reinvest in our portfolio. A little over 10 million of that total will be allocated to retain CapEx while the remaining 50 million split between tenant allowance and renovation projects in the sites I mentioned earlier. Due to tight expense control, our G&A expense guidance range is between 11.2 and a $11.7 million per quarter for this year which is 2% less than two 2016’s quarterly range. Our forecast assumes approximately 95.7 million and 100.7 million weighted average deluded common shares for 2017; net income and AFFO per share respectively. Our forecast does not include the impact of any refinancing transactions, any property acquisitions or the sale of any out parcels of land or additional outlets centers. The resiliency of the outlet channel has been proven over the past 35 years through many economic cycles. We have more than 3100 long term leases with good credit, brand name tenants that have historically provided a continuous and predictable cash flow in good times and in challenging times. No single tenant accounts for more than 6.2% of our base and percentage rental revenue or 7.7% of our gross leasable area and approximately 90% of our total revenues are expected to be arrived from contractual basements and tenant expense reimbursements. To conclude, despite bankruptcies and closing announcements by a number of underperforming retailers Outlets continued to provide the brand value and experience trifecta that consumers crave and one of the most profitable channels of distribution for retailers. We believe are fortress balance sheet, the strength of our core portfolio and our longstanding retailer relationships will leave us well positioned to weather the headwinds of today's retail environment. And now I’ll be happy to turn the call to any questions.
Operator: [Operator’s Instruction] Your first question comes from the line of Craig Schmidt - Bank of America. Craig, your line is now open.
Craig Schmidt: Thank you. I was wondering how long will the major redevelopments negatively impact license spreads. And when those projects are done, what might the trajectory of license spreads look like going forward?
Steven Tanger: Craig, we expect most of the redevelopment projects to be done by the end of this year. And historically within the next 12 to 24 months after the retenant shopping centers open; but you start to see a positive trajectory in – thereby tenants renewing new tenants coming in. We've done this many times in the past. You may remember years ago when Liz Claiborne went out of business they were our anchor tenant and we had to remerchandise most of our properties. So this is something we've done; we think it's an investment. It's painful in the short term but we think long term is the best way to create shareholder value and increase the sales and productivity and profitability of the centers that are remerchandised.
Craig Schmidt: Great. And then just given the amount of wood you’re chapping this year; is it likely that you may not have a new project to open in 2018 or is that yet to be determined?
Steven Tanger: I’m chopping so much wood here, we're getting splinters. So we view -- and we have a pipeline of potential new sites. There is demand and there's certainly the outlet centers are under stored and underserving our customers. There's only about 175 outlet centers in the country. So there's demand, there's markets that we've identified. When the tenant demand add rents that we can get the appropriate return are prevalent, we'd be happy to continue to develop. Right now as we mentioned in our prepared remarks, the fastest most efficient way to create shareholder value is to fill existing space. There's very little cost and an immediate return and immediate cash. So we're going to maintain the discipline we've had for the past 35 years. We've been through cycles like this before as I mentioned. We are not going to build on speculation. We're very pleased that our disciplined approach to capital allocation has worked. Our balance sheet is a fortress and we're going to maintain the same strategies that we've done before.
Craig Schmidt: Okay. Thank you.
Operator: Your next question comes from the line of Christy McElroy with Citi. Christy, your line is now open.
Christy McElroy: Hey. Good morning ,everyone. Just a kind of follow up on Craig's question and realizing that you're not going to build on spec and it’s a tougher environment and you're putting more capital until leasing. Just as you think about sort of capital allocation and using free cash flow; in addition to those sort of larger remerchandising efforts at select properties; what's your desire to do more of the sort of the larger redevelopment and expansion project, kind of putting more capital back into your existing assets to make them even stronger?
Steven Tanger: We believe in doing that as we've had in our entire corporate history. As I mentioned in my remarks we have invested $330 million into the look and feel, in upgrading our properties in the last 10 years. Each of them a great; we will continue to allocate a portion of our free of cash flow to continue to upgrade our properties. The seven remerchandised centers that you alluded to are major projects and will put those properties in a very dynamic underserved market where we feel we can attract really high volume tenants. With regard to Lancaster we are in the midst of a $50 million expansion and renovation bringing in just fantastic new tenants to the property to consolidate that center as the outlet center in the Lancaster market. So Christy, we agree with you. It's a good investment for us to continue to upgrade our portfolio but we have lots of capital and we have over $100 million now free cash flow and we're going to prudently allocate capital to various sources; raising our dividend, keeping our debt low, refinancing from the short term floating rate debt to long term fixed rate debt and upgrading our properties.
Christy McElroy: Okay, thank you. And then Steve, also just following up on your comments about the Easter shift; do you have a sense for maybe how much impact that had on sales growth? And just thinking sort of ahead to Q2 when that shift issue was eliminated, what the normalized sales growth rate could look like?
Steven Tanger: Well, in the past -- the month of April traffic has been up and sales have been up. We just got traffic results and they are up mid to high single digits for the month of April. We won't know sales impact till the 20th of the following month but historically it has been positive and we hope that trend continues.
Christy McElroy: Okay, thank you.
Operator: Your next question comes from the line of Caitlin Burrows with Goldman Sachs. Caitlin, your line is now open.
Caitlin Burrows: Hi, good morning. Earlier you mentioned some good quick details on your portfolios since 2010 in terms of development, acquisitions, dispositions; and yesterday CBL and Horizon announced they filled their outlet center at Oklahoma City. So I was just wondering if you guys had looked at that property, we're aware what's on the market and then kind of -- if so what made you decide to ultimately not move forward?
Steven Tanger: Good morning, Caitlin. We were where the property was on the market, it did not fit into our strategic planning and we decided not to pursue it.
Caitlin Burrows: Okay. And then you mentioned before about the kind of limited number of outlets centers that there are in the U.S. I guess when you think about acquisition opportunity, just generally; do you think there are many acquisition opportunities out there or do most of them kind of not fit what works for Tanger?
Steven Tanger: Well, the good news is we have probably close to $500 million available in free cash flow to -- I mean in immediate cash availability to be opportunistic should some center come available that does fit into our planning. Right now we don't know one but if anybody is listening and they have an outlet center that they want to sell, please give us a call and we'd be happy to think about it.
Caitlin Burrows: Got it. And then just in terms of the adding food options to your portfolio, have you guys noticed that this increases dwell time at all which could be a positive for us in the future or is it too early for the impact of the added food?
Tom McDonough: This is Tom McDonough. We don't have any empirical data but we anecdotally -- our managers have told us that all of this has been very helpful in retaining people on the property longer which is our key objective there.
Caitlin Burrows: Got it, thanks.
Operator: Your next question comes from the line of Todd Thomas with KeyBanc Capital Markets. Todd, your line is now open.
Unidentified Analyst: Hi, this is Drew Smith [ph] on for Todd today. I'd be curious if you could just speak in detail little bit about the decision to terminate the project in Detroit? You cited current market conditions in your press release; so I was hoping you could just elaborate on that a little bit and maybe give us some insight as to how far along you are in terms of preleasing thresholds?
Steven Tanger: Sure. As we mentioned in our prepared remarks, we decided not to move forward with the Detroit site because we did not meet the leasing, minimum leasing committed 60% threshold that's been our discipline for many many years. And we could not see visibility to get to 60% in the near-term and decided rather than throwing money after a project and maintaining options on the land we decided to move forward with other strategies; mainly filling existing spaces and focusing on the tenants and our leasing reps on filling our existing space than moving forward with the Detroit Project. And we've done this and you can go back and check over the past 10 years, there have been many times where we've done due diligence, pre-leasing and decided not to move forward. And we took a $627,000 write-off in Q1 which is about $0.01 per share. So we bit the bullet and we've decided not to pursue anything on speculation.
Unidentified Analyst: Great, that's helpful. Thank you. And then just lastly, in terms of same center NOI; just curious if you foresee any further deceleration throughout the year? Do you think maybe this is the trough here in 1Q and maybe things in fact a little bit moving forward?
Steven Tanger: Well, we've given you guidance for the year. We think it will continue to improve and we're comfortable with the guidance that we've just put out.
Unidentified Analyst: Great, thank you.
Operator: Your next question comes from the line of Tay Okuzana [ph] with Jefferies. Your line is now open.
Unidentified Analyst: Good morning, everyone. Steve, part of your commentary in regards to why guidance was lowered really kind of focused on this idea of unexpected to a closing relative to previous forecasts. And I guess, again you guys have always prided yourselves on having a good pause on what's going on with your tenants. I was just curious why you termed these unexpected and kind of what really happened in those scenario that you weren't -- it wasn't something you were forecasting initially?
Steven Tanger: When we get sales reports every month from our tenants and do our best to limit our exposure to some selected tenants that are not performing well or not investing in their own business but occasionally there are people that decide to close without any advance warning or without any advance discussions and that happens; and I'm sure it will continue to happen. Our leasing team has done a marvelous job over the past 35 years in filling vacancies on an organized and rapid schedule, and our tenants are being more deliberate doing more due diligence before executing leases to fill the vacant space. So we've revised our guidance based on that, but we – they may – the Corporate entities their closed doors may not be healthy corporate entities but are doing when there our outlets. So it's an interesting phenomenon that the outlets are the cash cow but some of the other divisions are doing poorly and the forces them to closed doors.
Unidentified Analyst: And would why say they are definitely more complications today just from a retailer -- basically acting tubular other leases. It's a small win in -- just kind of appear as terms fees and just kind it quits. I don't think there is more a less than a year has past.
Steven Tanger: Quarterly performing retailers have conversations with their landlords all the time. And we make a decision whether to give some short-term lease to maintain occupancy if our tenant partner has invested in their own business and this is a short-term blip for them. If a tenant has not invested in their business and is over leveraged due to whatever ownership structure they have, we're not inclined to invest in that business. So these are not usual or new conversations just like we have many, many more conversations with new tenants coming in to the outlet sector that are excited and use this opportunity to get space in our portfolio. Keep in mind there are portfolios over 96% occupied; the only way some of these new vibrant tenants can gain access is that some other tenants go out. So it's a process that's been going on for 35/36 years, we've been in business, it's nothing new.
Unidentified Analyst: Got you. Okay, last one for me. Just in regards to the upcoming ICSC; could you just talk a little bit about your schedule -- tenants you're planning to see whether things kind of feel like business as usual or whether anything feels unusual about it?
Tom McDonough: Hi, this is Tom McDonough. We'll answer that just following up on Steve where your earlier question I think we've guided to the second quarter that amount of square footage we expect to close and that includes one tenant, only one tentative that's approached us. With respect to the ICSC, we have heard some -- about some tenets that aren't planning to attend the ICSC but our schedule appears to be as full as normal. And it's a great event for us from a leasing standpoint, it brings us together with many, many tenants at the same time; so we'll be there in force.
Unidentified Analyst: Great. Thank you for indulging me.
Operator: Your next question comes from the line of Michael Mueller with J.P. Morgan. Michael your line is now open.
Michael Mueller: Steve, I was wondering can you give a little more color on some of the store opening delays that you were talking about that's contributing to the guidance this fall; is it just -- is it -- delays in identifying the tenants that are going in or is there delays in permitting and things like that?
Steven Tanger: Well, there is a number of different things. First, the remerchandising centers require a lot of juggling. As we mentioned, we have to hold off the market 22 store fronts in order to be able to consolidate space to accommodate the new tenants, you might imagine we're moving tenants, we're consolidating space, the new tenants coming in are negotiating and executing leases, this is a complicated process to remerchandise, we're just not filling vacant space. The tenants on their own side are being deliberate and I'm glad they are -- they are studying the markets and they are delaying -- executing leases until they're satisfied which is good because they're informed customers. The tenants we're talking to are well financed to go into these spaces, and they are in higher demand. So we're very happy that they are coming at entertainer centers and if there is a minor delay to convince them or provide them with the necessarily information, that's just fine with us.
Michael Mueller: Got it, okay. And then I think in your earlier commentaries, while you were talking about how -- as your signing leases these days, you typically don't give renewal options where before -- unlike on a new development, maybe a deal or something like that -- but is your leasing to these larger tenants, these 20,000 square footers that you talked about; does it change there -- do those tenants require you to kind of step up and give you -- give options where you necessarily wouldn't do it for 3,000 or 4,000 square foot tenant?
Steven Tanger: Michael, every tenant is different as you know. I'd prefer not to talk specifics but we endeavor to sign an initial term whether it be five years or ten years; and to either not agree to a renewal option or in some cases we do depending upon the tenant and the strength they have in the center.
Michael Mueller: Okay. That was it, thank you.
Operator: Your next question comes from the line of Carroll Campbell with [indiscernible]. Carol, your line is now open.
Unidentified Analyst: Good morning. On the remerchandising, I know you don't want to get specific tenant names but are the larger tenants that are coming into your center are those all a pair or seem some home furnishings kind of -- are you losing apparel tenants on placing them with better apparel tenants are you looking to go in a different direction with the space?
Steven Tanger: Some of the space is apparel. There are some of the highest volume apparel; tenants in the country right now -- they are the hottest names, and we also are excited -- we're signing leases now with a very very high volume home store. So -- look, our mix -- we're satisfied within our mix between apparel, and jewelry, and accessories right now. We're maybe 58% apparel which is down from five or ten years ago; we used to be in probably the low to mid 80%. So we've adapted to consumer demand and we will continue to do so.
Unidentified Analyst: And I know you all have theaters in some of your properties; so there any -- been any more interest in getting other entertainment concepts that seems how some of your mall peers are going? Is that something that Tanger's looked at or do you feel there is plenty of retailers, you don't need to go that route?
Steven Tanger: First, there is plenty of retailers; we don't need to go there road. Second we're ninety six percent occupied and to provide the space for a large theater or a Dave And Busters or some of these entertainment venues, we just candidly don't have the space and we have sufficient demand from existing new high volume tenants that we're -- we have not shown much of an interest in putting these people in.
Unidentified Analyst: Okay, thank you very much.
Operator: [Operator Instructions] Your next question comes from the line of Floris van Dijkum coming with Boenning. Your line is now open.
Floris van Dijkum: Great, thanks guys. Steve, question for you on -- you guys have been pretty disciplined in selling some of your lower productivity assets but if I look at your asset list, you still have your bottom ten assets produced average sales below $280 a square foot; what are your thoughts on those centers? And do they fit long-term in the Tanger portfolio?
Steven Tanger: Good morning, Floris. We do a strategic review with our asset management team couple of times a year into every one of our assets to decide whether to invest, to keep it or to sell it. Every portfolio has its bottom 10% or so and we focus on these is where there are none of these assets on the market for sale; we do get occasionally inbound calls which we pursue but right now these assets are producing profitably forus. And we don't -- unless we can get an appropriate phrase we don't see a reason for selling.
Floris van Dijkum: Okay. And one other question I had for you; as you say 34% of your leases now are on fixed cam; as you move more of your existing leases to fixed camp what is the impact going to be on your occupancy cost? One of the benefits in the past has been you know lower occupancy cost but presumably fixed camera raises occupancy cost for tenants. But how do you see that moving forward? Well, fix chem is an accepted business practice with both our tenants and ourselves and other landlords. So I don't -- as long as our sales continue to grow which we expect they will; and our costs remained in line which I said we have done a strategic review by our management team and all of our operating expenses, we don't think that the cost of occupancy will go up but the tenant side, they would prefer the certainty of their monthly expense so they can budget appropriately versus a pro rate of variable one. So it works for both of us stores, there is no direct link between fixed KAM and an increase in the cost of occupancy.
Floris van Dijkum: Okay, great, thanks Steve.
Operator: Your next question comes from the line of Mike [ph] with Davenport. Mike, your line is now open.
Unidentified Analyst: With the development opportunities maybe not so robust in the past and the share price where it is, when do you consider buying your stock versus other capital opportunities?
Steven Tanger: Good morning. I'm going to let Jim Williams take that.
Jim Williams: Sure. We're very proud of the balance sheet that we've created and one of our main focuses -- we're proud of the investment grade that we have, so we're mindful of any strategy we'll pursue what that does our balance sheet. We still think that reinvesting in our property and spending our successful centers, renovating our properties to really meet what our customers are beginning to expect, managing our debt, we still think those are the main priorities that we want to focus on. We won't -- we haven't ruled out side buybacks, I think particularly if you know -- the levels where our price is now we certainly run those models and if there is not a better use of cash and I will lean more talk to that but as long as it doesn't hamper our flexibility that we have in our leverage ratio; so we like our leverage ratios where they are and we're not interested in pushing too strong on that.
Unidentified Analyst: Okay. Thank you.
Operator: Your next question comes from the line of David West with Davenport & Company. David, your line is now open.
David West: My questions were asked and answered. Thank you.
Operator: There are no further questions at this time. I'll turn the call back over to the presenters.
Steven Tanger: Well, thank you all for participating on our call today. And for your interest in Tanger Outlet's. We look forward to seeing you at one of our non-deal roadshows this month or the conference next month. We're always available on answering any of your questions. Have a great day. Good bye now.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. You may all disconnect.